Operator: Welcome to the Match Group Fourth Quarter 2024 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Tanny Shelburne, Senior Vice President of Investor Relations. Please go ahead.
Tanny Shelburne: Thank you, operator, and good morning, everyone. Our press release, executive commentary and supplemental financial materials were posted to our investor relations website yesterday afternoon for reference. As a reminder, we will not be reading the executive commentary on today's call. Today I'm joined by our new CEO, Spencer Rascoff, as well as our President and CFO Gary Swidler and incoming CFO Steve Bailey. Spencer, Gary and Steve will make a few brief remarks and then we'll open the line up to questions for approximately 30 minutes. Before we start, I need to remind everyone that during this call we may discuss our outlook and future performance. These forward-looking statements may be preceded by words such as we expect, we believe, we anticipate or similar statements. These statements are subject to risks and uncertainties. Our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our earnings release or periodic reports with the sec. During this call, we will discuss certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures can be found in our press release and commentary on our IR website. These non-GAAP measures are not intended to be a substitute for our GAAP results. With that, I'd like to turn the call over to Spencer.
Spencer Rascoff: Thanks Tanny, and good morning everyone. I appreciate you joining us today. I am honored to step into the CEO role at such a dynamic time for Match Group. I want to thank BK for his commitment and his contributions to Match Group. Having served on the board, I've seen firsthand the company's commitment to innovation and its portfolio of iconic brands that continue to redefine how people connect. Match Group thrives because of its ability to experiment boldly and scale new ideas to millions of users. As we look ahead. I'm excited to work closely with our teams to foster a culture that prioritizes creativity and continuous innovation, ensuring we remain at the forefront of shaping the future of dating and relationships. With that, I'll turn it over to Gary and Steve to talk through results.
Gary Swidler: Thanks Spencer, and welcome to the company. It's great to have you here. Good morning everyone. We're excited to share our Q4 and full year 2024 results, which slightly exceeded our expectations at the time of our Investor Day as we finished the year strong, driven by a solid start to peak dating season which runs from the day after Christmas to Valentine's Day. At our Investor Day in December, we outlined our strategy to leverage innovation, especially driven by AI, to improve the product experience and reinvigorate growth. Our 2024 efforts laid a solid foundation that has positioned us for success in 2025 and beyond. Executing this strategy to meet evolving user expectations, drive sustained growth and deliver long-term shareholder value remains our focus. 2025 is a critical, critical year for execution at Match Group and we're confident that the product roadmaps we've developed at our business units will help us achieve our goals. With that, I'll hand it over to Steve.
Steven Bailey: Thanks Gary. Let me start by thanking Gary for his many years as CFO of Match Group. This is his 37th earnings call at our company which is an extraordinary tenure. I have big shoes to fill and I'm grateful to him for his hard work and many contributions as our long-term CFO and President. I'm very happy to be joining today's call and look forward to many more ahead. This is the first call with this new earnings format and we hope everyone finds it helpful. In 2024, Match Group delivered total revenue of $3.5 billion, up 3% year-over-year or 6% on an FX neutral basis. Despite lower revenue growth than we expected at the beginning of the year, we achieved our full year AOI margin target of 36%, reflecting our continued focus on cost discipline. Looking ahead, we remain committed to executing against the financial goals we outlined at Investor Day, driving steadily improving revenue growth, 3 points of AOI margin expansion by 2027, strong free cash flow generation and a target of returning at least 100% of free cash flow through dividends and share repurchases. We believe we're well positioned to execute and deliver on these plans in the quarters ahead. With that, let's open it up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Ross Sandler with Barclays. Please go ahead.
Ross Sandler: Great. I think I'll start with the Spencer question. So Spencer, I think everybody on the call here is excited to see you step into the arena again. So what inspired you to join Match Group and what's your perspective on the state of the online dating industry?
Spencer Rascoff: Thanks Ross. Good to hear from you. Those of you who know me know that I'm a mission driven leader that I get fired up about creating and growing category leaders in huge digital industries which solve fundamental human needs. I started my career in Tech 25 years ago in the online travel industry by co-founding Hotwire. We sold Hotwire to Expedia to create Expedia Group, and then I ran the hotel vertical there for several brands like Hotwire, Expedia and hotels.com, and then I left to start Zillow, which grew into Zillow Group as we acquired and incubated many brands in the digital real estate category. So just to double click on Mission, Expedia Group's mission of helping people explore the world through travel was motivating to me during my five years there, and Zillow Group's mission of helping people find a home that they love was inspiring for my 15 years there. But Match Group's mission of connecting people is probably the most important mission of any company globally. Because the way I think about Ross is finding a home to love is great, but finding a person to love is even more important. So to answer your question, why am I here? Why am I back in the saddle? For me, it starts with Mission. I'll add to that that I was also attracted to the strength of Match Group's brands. Just to give you a sense of the power of the brands, yesterday I got hundreds of congratulatory emails from friends and most of them included some version of I met my person on Tinder or on Hinge or on Match or on one of your other apps. And that includes my brother and sister, both of whom found their person on our apps. So that's amazing. If that doesn't get you to jump out of bed and run to work in the morning, I don't know what does. And then in terms of timing, I believe that this Cambrian explosion in AI is going to allow Match Group to have the same kind of business inflection that the shift from desktop to mobile created for our category and other categories around 10 years ago when mobile exceeded desktop. And we've seen other AI driven consumer mobile apps, from TikTok to Instagram to Snapchat have stepped changes in engagement and retention from brilliant adoption of AI features on mobile, I see the same potential for us. And then lastly I would just focus also on TAM. So I'm optimistic that someday we're going to look back at online dating in 2025 and realize that the TAM was much larger than people expected and there's some pattern recognition here where we've seen other categories become digitized and offline substitutes become an anachronism from e-commerce to transportation to travel booking to real estate search, all of which are almost entirely online. Now, those categories are online in a way that dating is just not fully online yet and we intend to change that. So for all those reasons, that's why I'm back in the saddle, totally fired up about our mission, our brands, our TAM, our scale advantage, our potential with AI. And let's go, next question please.
Operator: And the next question comes from Benjamin Black with Deutsche Bank. Please go ahead.
Benjamin Black: Great, thank you for the question. Perhaps just a follow up there. So, why is this the right time to make, the change in leadership? And Spencer, I guess, how is your strategy going to evolve from BK’s and are you taking any steps to sort of ensure a smooth transition without a meaningful disruption? Thank you.
Spencer Rascoff: Yes, look, this is and will be a smooth transition. I was already on the board of directors, I was already in the building. I already had a key card that worked like I know the team here. I'm familiar with the strategy, I'm familiar with the company. And also Match Group is very similar to Zillow Group where I had a very successful tenure as CEO. They're both multi brand, they're category leading digital marketplaces, they're around the same size of scale. So I think as CEO transitions go, I think this is going to be as seamless and smooth as possible and as seamless as you'll see. Regarding the strategy and the financial targets from Investor Day, I stand behind those. I was on the board when they were prepared and was involved in their preparation. And I'm here as CEO to make sure that the plans get executed and then some. I'm bringing urgency, I'm bringing accountability and prior experience to role and I'm ready to rock. Next question please?
Operator: And the next question comes from Curtis Nagle with Bank of America. Please go ahead.
Curtis Nagle: Great. Thanks so much for taking the question. Maybe could you extrapolate on the comments, I think a couple times in the press release that you'd observed a solid start to the dating season. But the 1Q guide at least from like a payer and revenue perspective, implies a slowdown, even taking into account some of the FX headwinds.
Steven Bailey: Yes, thanks Curtis. Let me take that one. Yes, you're right. Peak season, new user trends have been solid at Kindle and Hinge, which is a leading indicator of future MAU and revenue trends, but it only has a modest impact on revenue immediately. It does give us a lot more confidence in our 2025 revenue trajectory which calls for improving year-over-year trends as the year progresses. On revenue and really margin too, there is a disconnect between consensus for Q1 compared to our expectations, which really haven't changed since Investor Day aside from FX. There's really -- this is really because we didn't share color on the cadence for 2025 at Investor Day, we really wanted to focus on the long-term trajectory of the business and we said we'd provide more details on this call. So let me give you some more color. Our Q1 total revenue expectation is really impacted by declines in Tinder's year-over-year direct revenue growth which reflects stabilizing but still negative MAU trends as well as planned trust and safety initiatives including Biometrics in Canada which we talked about in the materials. And while it might seem like a small thing, the fact that last year was a leap year also reduces year-over-year revenue growth by about a point in the quarter. And I would say while we didn't give quarterly expectations at Investor Day, we did review the timing of Tinder's product initiatives and indicated that we would test and launch these features throughout the year and that would gain traction as the year progressed and therefore have a bigger impact on the second half than the first. In addition to these, product initiatives we laid out at Investor Day, Tinder has planned a number of monetization initiatives as well throughout the year that will gradually improve year-over-year revenue growth. That's pretty typical for us and so we have high confidence in our ability to deliver on those revenue generating monetization initiatives. Aside from Tinder, we also expect other brands to deliver improved revenue growth throughout the year as they execute on their product roadmaps and deliver their monetization initiatives. In particular, we assume that Hinge’s revenue growth strengthens in the second half of the year as user growth continues to be strong and they execute on their product roadmap. So collectively between what Tinder's expect to deliver, what the other brands, including Hinge, expects to deliver, and the solid start to new users to start the year, we're confident we can deliver gradually improving year-over-year total revenue growth throughout the year and achieve our full year total revenue outlook. Next question?
Operator: And the next question comes from Chris Kuntarich with UBS. Please go ahead.
Chris Kuntarich: Great. Thanks for taking the question. Just any update around Tinder's Apple App Store ranking and whether the current state could allow Tinder MAUS to return to year-over-year growth in 2025.
Gary Swidler: Why don't I jump in and take that one? So we have seen some real improvement in Tinder MAU trends globally over the last few months as the effect of what happened on iOS has begun to dissipate. If you look at it on a month-by-month basis, globally, Tinder MAU in October were down about 10% year-over-year. And that's when we saw the bulk of the impact of what happened with the iOS impressions. Since then we've seen some steady improvement. Tinder MAU globally were down about 9% in November and again in December. And then January has come in at about 8% year-over-year. So there has been some real progress on that front over the last four months. And as Steve mentioned, we've seen this solid start to dating peak season in terms of new users, and so that's helping the year-over-year MAU trends as well. Now this is only a few months of data. There are relatively modest improvements, so I don't want to, kind of over exaggerate them, but obviously we need to make progress on year-over-year MAU trends. That's what's in our outlook for the rest of the year. And so, three or four months of those trends going in the right direction is a very good sign for us and obviously at a critical time of the year as well. So as Steve said, it gives us confidence that we're going to see over the course of 2025, steady improvement in MAU trends, which ultimately should also help us translate that into improvement in year-over-year revenue growth trends. In terms of growth for the year on the MAU front at Tinder, that's not what's currently included in our outlook. We're focused on improvement from where we are. We've got a ways to go from down 8 to something much better than that. So our focus is on delivering that. I'd love to see us get back to growth. But I think we have to take the baby steps first. We've got to roll out these product initiatives, see them drive improved user trends. So our forecast isn't assuming that, but obviously we'll have to see as we roll out these various features, what impact they actually make on user trends. And, and as we roll out each one, we'll be able to give you a much more fine-tuned estimate of the expectations around user trends. But we feel good about the start to the year and we're on track against what we've been expecting. Hopefully that's helpful and we can move to the next question.
Operator: Next question comes from Cory Carpenter with JPMorgan. Please go ahead.
Cory Carpenter: Good morning. So you mentioned several a la carte features that are being tested at Tinder. Could you provide an update on the progress there and the expected revenue contribution this year as well? Thank you.
Steven Bailey: Why don't I take that? Thanks Cory. We did roll out first impressions. For those of you who don't know what that feature is, it allows users to send contextual messages on specific profile elements. We rolled that out in December and we are seeing good results. User adoption has been solid and users who send a first impression are likely to get more and more likely to get a match. So the product feature is effective. Through further iteration since we first tested first impressions, we were able to reduce cannibalization impacts, which we've talked about on previous calls, being a blocker and it is adding incremental revenue, which is great. On Passport, we plan to continue to iterate. We'll take a similar approach to first impressions where we optimize for the user experience and minimize cannibalization of our existing offerings. I do want to point out that the expected contribution from the revised ALC features at Tinder on 2025 revenue is relatively small and it's really monetization optimizations like package mix and merchandising that are accounting for the bulk of Tinder's expected revenue trend improvement alongside some improvement in MAU trends like we've been talking about. Next question?
Operator: The next question comes from Ygal Arounian with Citi. Please go ahead.
Ygal Arounian: Hey, good morning, guys. I just want to talk about margin outlook for 2025 and how you're thinking about investments. I think if you look at the guidance, the high end, you kind of maybe have lowered the high end. But I think the commentary also talked about the margin outlook being largely the same as it was at the Investor Day. So maybe just clarify on that. And what you're seeing is giving you conviction to invest more, to create upside to the targets, help you get to the targets. Just help us walk through that. Thanks.
Steven Bailey: Yes, thanks for the question. Ygal. We're committed to delivering at least 50 basis points of margin expansion in 2025. It could be higher than that, but we're committing to at least 50 basis points. This is at the lower end of the range we provided at Investor Day, really, because of worsening FX headwinds, primarily at Tinder. It's not due to incremental investments. What you have to understand is Tinder's cost base is almost entirely in the U.S. and a significant portion of its revenue comes from outside the U.S. So FX headwinds at Tinder really create both a revenue, both revenue and margin pressure. And so, we want to give ourselves the room to make the planned investments and product innovation at Tinder so that we can achieve our three year revenue growth objectives. And at least 50 basis point expansion target allows us to do that. I'd also say we're still highly confident in our ability to achieve our three year margin target of 39% we talked about at Investor Day and we have a clear plan to do that. So that is, that is unchanged. And, let me just take a minute to also talk a little bit about the quarterly cadence of margin. Now, there is a typical seasonal pattern we see in our business. Most of you know this. The margins are typically lowest in Q1 as we spend up on marketing during peak season and then they typically improve throughout the year and are generally highest in Q4, where we tend to pull back on marketing during the holiday season. And I just want to be clear that, you know, we expect similar trends in the, in the cadence of margins this year as well. Next question?
Operator: And the next question comes from Shweta Khajuria with Wolfe Research. Please go ahead.
Shweta Khajuria: Okay, thank you for taking my question. I have one on Tinder. You mentioned in your letter that Tinder declines are expected to lessen and I guess my question is, which specific initiatives in your view could be the biggest needle movers and what KPIs related to those initiatives are you tracking to measure progress? You kind of touched on this a little bit, but just want to double click. Thanks a ton.
Gary Swidler: Hi Shweta, it's Gary. Why don't I try to jump in and take that? And people mess up my name all the time too, so I'm sympathetic. You're right. Our outlook calls for improving MAU at Tinder through the year. And that's going to be driven primarily by product, as Steve has talked about in a couple of his responses. And, I just want to point out, it's not going to be one specific thing. It's really a number of things. We have three areas that we've talked about at Tinder where we need to see progress. We've talked about fostering a cleaner ecosystem, improving user outcomes and bringing the fun back to dating. And we really need to make progress in all three areas. Obviously the trust and safety area is critically important to Tinder, and so that's a major area of focus and emphasis. But all three really have significant initiatives planned and they're collectively what's needed to help us improve the user trends and the revenue trends. Look, if I, if I had to pick one or two, I think we highlighted at investor day the -- we demonstrated the AI driven matching feature that gives people something other than swiping as a way to meet. I think that's very exciting for us. We're really excited to get that out into the market and see what that does to user growth. So we're working very hard on delivering that. And look, all of these products are going to require some level of testing and iteration and refinement. So it's not just going to be get them out to the market, see the results and be done. It's really, this back and forth to get these products, refined and perfected. And so I think you should expect to see that. And obviously we expect that over time that will help us build improved MAU trends. In terms of the KPIs, if you go back to the Investor Day presentation, there was a slide on each of these three areas that I just went through and what metrics we're expecting to move. So I'm not going to kind of go back through all of that. But as an example, if you look at the AI-enabled discovery feature that I just referenced, we want to see what the level of adoption is. Obviously, we're going to roll that out as a complement to swiping. We want to see a significant number of people engaged with that feature and give it a try. So that's going to be really important. We also want to see improvement in quality matches. We want to see that product really deliver for people in terms of enhanced quality matches that will improve the perception of the product, which should help us drive user growth. So that's the flywheel we want to get going, and we're going to be watching key metrics on all of these different product initiatives, whether it's trust and safety ones or new ways of discovery to drive the improvement at Tinder from a user perspective, which we would expect to follow if there's high adoption and satisfaction with the features. So hopefully, that addresses your question. And we’ll ask the operator to go to the next one.
Operator: And the next question comes from Nathan Feather with Morgan Stanley. Please go ahead.
Nathan Feather: Hey everyone. Thanks for taking the question. For Tinder, you talked about the impact of prior trust and safety changes on user trends, particularly back half of 2023. With the additional testing of features like face photos and biometrics. How should we think about that potential impact on user growth in 2025? And then as you remove bad actors from the ecosystem, how should we track underlying quality user track.
Gary Swidler: Hi, Nathan, why don't I jump in and take that one as well. So you're right to point out that as we focus on fostering a clean ecosystem at Tinder, rolling out these trust and safety initiatives, do have effects on both users and some on revenue as well. And so that's something that we're monitoring very closely. And obviously, what we're trying to do is iterate on these trust and safety features to maximize their impact on trust and safety, meaning get out as many bad actors out of the system as we can and minimize their effect on good users and on revenue. That's what we're trying to achieve. And so that's the constant iteration and set of trade-offs we're making on these trust and safety features. And just like I described to Shweta, it's a constant effort to make sure we pinpoint those and have their effect be as precise as possible. And so things that we're monitoring as we roll these features out is do the reports of bad actors decline, do the interactions with bad actors that a user have improve so that we see that they're being effective. And we are able to monitor that quite effectively. So we're going to continue to monitor all of those KPIs and make sure that those features are as effective and have as little bad knock-on effects as they possibly can. That's why we're testing biometrics so extensively in Canada. Our outlook right now includes the effects of biometrics in Canada in that one market. And we're also working through face photo requirements in several markets, and we've included all of that within our full year outlook. So that right now is how we're analyzing things, and we'll report back if our view on these trusts and safety features changes. But right now, that's what's included in our outlook. And I just want to point out that well, it's obviously very important, morally ethically for us to have as clean an ecosystem as possible. There's also real business reasons to do so. It's important to the health of the brand. It's important to driving word-of-mouth. It's important to retention and overall user growth, which are obviously beneficial to the business. And so that's why we're willing to have these short-term effects of a lower user base or even some lower revenue because overall, it's critically important to the success of the business that we foster that clean ecosystem and see the benefits on KPIs of doing so.
Spencer Rascoff: Gary, if I can just jump in. Look, we've seen this movie before with plenty of other digital social networking or user-generated content apps like YouTube and Facebook that have worked to clean up their ecosystems and improve trust and safety. You think back to 2006 when Google bought YouTube, YouTube was a cesspool of pirated illegal video content at the time. And Google worked hard to clean up the ecosystem and improve user satisfaction and also monetization because you'll recall, advertisers did not want to get anywhere near it at the time. And now obviously, YouTube is YouTube, right? And Facebook had the same problem in 2016 to kind of 2019 or so, they removed over 2 billion fake accounts in a single quarter in 2019. So that's an ecosystem cleanup, which Facebook embarked upon. And for us, as Gary said, it's mission-critical our users can feel safe and secure when connecting with people through our apps. And I think as Gary explained, this clean ecosystem, it drives real business outcomes, right? It improves net promoter score. It drives positive word of mouth. It improves retention. It lowers our customer acquisition cost. It creates positive network effects. So it's not just a nice to have. It's a must-have. It's why it's one of our key pillars for 2015 -- sorry, 2025. And even if in the short term, it has the effect of potentially reducing some top line user metrics, we think it's the right thing to do for the business, just as it was right for YouTube to remove pirated videos. It was right for Facebook to combat spam and scams and that's why we're so focused on trust and safety. Next question please?
Operator: The next question comes from Mark Kelley with Stifel. Please go ahead.
Mark Kelley: Great, thank you very much. Good morning everyone. I just wanted to ask a quick one about the new matching algo Hinge that you talked about in the letter. I guess is that something you might look to replicate across your brands? Or do you feel like that's something that's going to be unique to the Hinge experience? Thanks very much.
Steven Bailey: Let me take that one. Thanks, Mark. The short answer is yes, we can leverage it. The point of the pop plus initiative, we've talked a lot about recently is that there are advantages to scale technology and our multi-brand portfolio that allows us to leverage shared learnings across the brands more effectively. We've seen this happen at E&E, with all their consolidation efforts over the past couple of years. We've also seen it with features like AI Photo finder, as an example. We think there's a lot of opportunity to also continue to enhance the matching algorithm from here. One example is improving the algos by providing better feedback loops, which Hinge is doing with its personal interview feature. And we think there's a lot of other examples of improving the matching algorithm by leveraging AI, which can potentially be deployed at all of our brands. We just need to account for the distinct user experiences at each of them. But we do think there's a lot of opportunity here.
Spencer Rascoff: Steve, just to add, this is one of the things that excites me about this company. So it's scaled, right? It's global. It's multi-brand, and those are all things that are competitive advantages. So we're absolutely going to leverage AI across brands in lots of ways. We've done a little bit of that today, but there's a lot more that we can do. And we ran this playbook at Zillow Group with great success when Zillow bought Trulia and renamed it Zillow Group. We shared best practices in areas like digital marketing and search and optimization, e-mail marketing. We did a lot of cross-brand AI personalization of the short order of homes or photo ordering, all of that -- all those were AI innovations that we innovated on different brands and then scaled across the whole portfolio. So that's absolutely the playbook that was already in motion here with the Power Portfolio initiative, the pops plus initiative and that playbook, we will be executing this year.
Mark Kelley: Thank you very much.
Operator: And the next question comes from Jason Helfstein with Oppenheimer. Please go ahead.
Jason Helfstein: Thanks, Spencer good to reconnect. I want to aim this to you. Just any thoughts about focusing more on kind of monetizing Tinder and Hinge users, i.e., either higher prices for current paid users or kind of moving the pay wall so that there's less free users. I guess it's like are you leaving economics on the table with nonpaying users given the market's focus on kind of the payers' metric? Kind of maybe the Netflix approach.
Spencer Rascoff: Jason, good to reconnect and great to be working with you again. This conversation reminds me a lot of the number of premier agent advertisers times premier agent revenue per month, that something that you and I spent lots of time discussing. And as I always told you there, we were focused on maximizing total revenue, not on the number of paying real estate agents, and it's very similar here. So we're maximizing and optimizing for total revenue, and that's how we run the business. I'll let Steve go into a little bit more detail on your question, though, because I've only been here for half a day, but that's my overall take is revenue, Trump's revenue per or number of payers, but over to you, Steve.
Steven Bailey: Yes. No, that's exactly right, Spencer. We have -- Match Group has an incredible track record of innovation when it comes to monetization. Overall, I think we're one of the best-in-class. It's a major strength of the company. It's another advantage of our multiple brands, operating multiple brands at scale. And we've said many times, our primary focus like Spencer said, is on maximizing revenue. That is not new, not specifically RPP or payers. We're constantly testing and trying to optimize for revenue regardless of the impact of those -- on those two metrics specifically. And as you look across the portfolio, in terms of monetization, we're very advanced at Tinder, for example, but always still refining and improving through optimizations, but then there are other brands like Hinge that are still in the earlier stages of monetization optimization because they're in the earlier stage of their business life cycle and have rightfully focused more on user growth than on monetization to this point, I'd expect we're going to continue to focus on driving user growth at Hinge, but there's a lot of opportunity to increase our focus on monetization optimization moving forward as well. But again, it will always be in the vein of maximizing revenue, not one particular metric. With that, let’s turn over to the next question.
Operator: And the final question comes from John Blackledge with TD Cowen. Please go ahead.
Unidentified Analyst: Hi, it's Logan on for John. At the Investor Day, you mentioned that given the mix shift emerging in Evergreen, overall, top line growth can turn positive at some point in the back half of 2025. Could you update us on that outlook and discuss some of the emerging brands, which maybe are driving that growth?
Gary Swidler: Sure. Welcome to the call, Logan. I'm happy to try to take that. What you said is exactly right. We're expecting that over the course of 2025, we're going to see moderating declines at the evergreen brands, and we're going to see continued nice strong growth at the emerging brands such that those things should roughly offset each other as we get through the year, which will allow E&E to be a nice contributor over time from a growth perspective to Match Group again, and we're looking forward to that. It will have a nice impact on our overall financial picture. In terms of which emerging brands, the thing that's happened is we've rolled out more and more emerging brands because they're mainly demographically focused. And so we've been targeting demographic group’s kind of one by one. We start out with Chispa and BLK on the Hispanic and black communities. And those have continued to be very strong growers for us, very solid businesses. And so they're definitely a key part of the story. And then we've moved to other smaller demographic groups as well. And we just keep adding those, and that's helping to offset the decline from the evergreen brands. And so for example, we recently acquired a brand called Salaams, which focused on the Muslim community. And we've seen really good growth in that business. We've expanded its revenues by about 50% since we made the acquisition. So this is going to be a continued strategy for us to grow and build and buy these various demographically-driven brands and get us to the point where the E&E businesses as a whole can be a revenue contributor to Match Group. I just also want to point out on this topic that E&E discussed the build once, deploy everywhere strategy at the Investor Day, and we're implementing that throughout 2025, and that has some real benefits in the business as well because it enables us to quickly and effectively roll out new features and operate these smaller demographically focused brands at very attractive margins. So it's not just a revenue play, but there's a real profitability focus as well in that business. So we feel good about what's going on at E&E, and you'll hear more about this as the year progresses. With that, why don't I turn the call over to Spencer for a few closing remarks.
Spencer Rascoff: Thanks, Gary. I want to thank Steve, Gary, Tanny and the rest of the team here at Match Group for welcoming me yesterday. It was a great and energizing day. It's also great to see so many familiar investors and analysts on the call, and I look forward to working with you here as I did for so many years in my last CEO role. As you can probably tell, I'm extremely excited about Match Group and our potential as a vote of confidence and also because I believe it's a good investment, I'm going to be buying personally $2 million worth of Match Group stock in the open market tomorrow when the trading window opens to me. I'm committed to building long-term shareholder value. I'm super excited to get to work, and I look forward to talking with you all soon. Thanks so much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.